Operator: Good morning. Welcome to today's Colgate-Palmolive 2025 Fourth Quarter and Year-End Earnings Conference Call. This call is being recorded and is being simulcast live at www.colgatepalmolive.com. Now for opening remarks, I'd like to turn this call over to Chief Investor Relations Officer and Executive Vice President, M&A, John Faucher.
John Faucher: Thanks, Betsy. Good morning, and welcome to our fourth quarter and full year 2025 earnings release conference call. This is John Faucher. Today's conference call will include forward-looking statements. Actual results could differ materially from these statements. Forward-looking statements inherently involve risks and uncertainties and are made on the basis of our views and assumptions at this time. Please refer to the earnings press release and our most recent filings with the SEC, including our 2024 annual report on Form 10-K and subsequent SEC filings, all available on our website for a discussion of the factors that could cause actual results to differ materially from these statements. These remarks also include a discussion of non-GAAP financial measures which excludes certain items from reported results, including those identified in tables 4, 6, 7, 8 and 9 of the fourth quarter earnings press release. Full reconciliation to the corresponding GAAP financial measures and related definitions are included in the earnings press release, which is available on our website. Joining me on the call this morning are Noel Wallace, Chairman, President and Chief Executive Officer; and Stan Sutula, Chief Financial Officer. Noel will provide you with his thoughts on our results and our 2026 outlook. We will then open it up for Q&A. Noel?
Noel Wallace: Thanks, and good morning, everyone, and thanks for joining us today as we discuss our stronger-than-expected Q4 results, and more importantly, our outlook for 2026, which marks the beginning of our new 2030 strategy. I'll give some brief thoughts on 2025 before heading into why I'm excited for what 2026 could bring despite a very volatile environment as we enter the year. We delivered organic sales, net sales, gross profit, base business earnings per share and free cash flow growth in 2025 despite lower-than-expected category growth higher-than-anticipated raw material inflation and the impact of higher tariffs. I believe our ability to deliver dollar-based earnings per share growth in a year with that much volatility is a sign that the flexibility and resilience we have built into our operating model is working effectively to drive value for our shareholders. Encouragingly, we are exiting the year with improved momentum with organic sales growth in all 4 categories in the fourth quarter and sequential improvement in organic sales growth versus the third quarter in every division, except North America. And we delivered modest volume growth in Q4, excluding the impact of both the Prime 100 acquisition and the planned exit of the private label business. Last year, we completed our 2025 strategy as we added $5 billion in sales, and this year marks the transition to our new 23 strategy, which we believe provides the building blocks to accelerate change at our company to continue to drive top-tier growth and total shareholder return. The 5 key areas where we're focused on are: First, we have strong brands with global reach. We believe this provides a competitive advantage. For example, the Colgate brand is the most penetrated brand in the world and this helps us drive distribution for our portfolio, particularly in emerging markets. Second, we are accelerating our investment in new innovation models with additional resources focused on delivering more impactful science-based innovation across all price tiers with greater investment in key strategic growth markets. Next, we're harnessing the power of best-in-class omnichannel demand generation by adapting how the right products with content and messages are delivered to the right people at the moments that matter in order to drive purchase behavior. The goal is to deliver consistency of this consumer-centric model around the world to build brand strength and penetration. Fourth, we're continuing to double down on and accelerate investments in scale capabilities, digital, data, analytics and AI including our efforts in revenue growth management and AI-driven innovation to generate faster growth, higher return on investment, efficiency and productivity and to integrate new ways of working across the company. We are also executing on our plans to optimize our supply chain through predictive analytics and automation to handle customization and personalization in a new dynamic environment. This is intended to deliver personalization at scale, drive optimal asset utilization, minimize downtime, improve service levels and enhance quality systems. Finally, anyone who has worked for me knows how much I believe in culture is a competitive advantage. We are laser-focused on continuing to develop a high-impact culture by aligning key performance indicators in our training and development programs. We also announced our strategic growth and productivity program which should unlock the organizational changes and funding necessary to help us deliver on our new strategy. Combined with our fund growth initiatives, which delivered another strong year in 2025 and we believe we are well positioned to invest to grow our brands, build our capabilities and deliver productivity to help offset cost inflation and drive margin expansion. We have several reasons for optimism in 2026. Our new strategy and the resilience and strength of our operating model gives us the ability to adapt to this volatile environment. Emerging markets where we have significant exposure continued to perform ahead of developed markets. We delivered improved momentum on our business in Q4 in terms of organic sales growth and market share, and we have seen stabilization of category growth rates as we exit 2025, but we still face significant uncertainty. While category growth may have stabilized, growth rates remain low. This is difficult in and of itself, but also could lead to higher levels of promotion and other competitive activity. Foreign exchange is favorable right now but has been a negative impact for 8 of the past 10 years. The geopolitical environment, including tariffs, is volatile, particularly in Latin America, and the U.S. market remains sluggish, while we think trends will improve, we're not building in a big rebound. Because of this uncertainty, we're giving a wider range than normal in our net sales and organic sales growth guidance to incorporate various levels of category growth. So to finish up, I'm confident in our ability to navigate through this uncertain environment. I believe we have the correct long-term strategy, very well-designed 2026 plans and, of course, the best people and culture so that we can continue to deliver value to all of our stakeholders through achieving our long-term ambitions. And with that, I'll take your questions.
Operator: [Operator Instructions] The first question today comes from Dara Mohsenian with Morgan Stanley.
Dara Mohsenian: So nice sequential progress on organic sales growth in Q4. 1% to 4% guidance for '26 is a wide range, understandable in this environment. But Noel, I'd just love to get your perspective on category growth within that guidance as you look at key regions around the world, where we sort of stand here at the beginning of the year. Obviously, a difficult '25, but you talked about improvement in Q4, where we saw that clear sequential improvement. So just does that give you more confidence here? How do you see Colgate as positioned also within that industry framework just from a market share standpoint and as you look to drive greater marketing effectiveness? I think the point blunter is really just trying to understand how you think about landing within that OSG range in '26, an improvement versus '25 with the points you made around optimism versus the uncertainty. And then if I can slip the second one in, Stan, it's just been so long since we've seen favorable FX. Can you just talk about the flex on the earnings line relative to the top line dynamics I just asked about and how you manage the business in terms of spend and the way you manage that business relative to that FX benefit?
Noel Wallace: Yes. Thanks, Dara. Clearly, we're pleased with the -- as you said, the momentum exiting the year. On an underlying basis, excluding private label, organic in excess of 3%. So a good number that we think sets us up well, but the environment continues to be very challenging and very volatile. Overall, it seems like the categories have stabilized at the lower rate than our historical assumptions, as you well know, probably in that 1.5% to 2.5% as we showed in the prepared commentary. We're seeing a lot of month-to-month swings in the U.S., which you can see in the candidate, obviously, plus we continue to see some downward pressure on inventories as category slow. The volume is the particularly more acute issue in the U.S. where we've seen on our core categories some of the volumes go negative in the categories. Our anticipation is that will get a little better. But as I mentioned, we're not assuming the U.S. will get significantly better, at least in the next couple of quarters. On an underlying basis, though, we think North America was actually a little better for us this quarter, but still not where we need it to be, as I've discussed before. We do things with a better -- with a little better thinking in 2026 versus our strategy in '25, we've got easier comps, we've got a much stronger innovation pipeline and the execution is improving, and we certainly saw that improve as we went through the back half of the year. If I go on to some of the other regions, as expected, Europe is seeing less pricing than before. Volume is maybe slightly better than we were expecting. Western Europe better, which was good to see, but some continued weakness, particularly in Eastern Europe and specifically calling out Poland in that regard. Latin America was very encouraging with Mexico and Brazil very strong in the quarter. The Andina region and Central America regions improved, although still very challenging from a category standpoint in those areas of the world. Asia improved sequentially, which is terrific to see with India returning to growth Hawley & Hazel not out of the woods yet, but improving on an underlying basis, and we particularly saw some encouraging shares as we exited the quarter in e-commerce on Hawley & Hazel driven largely by a very successful new product entry. The Chinese New Year moves into the first quarter this year, so we should see a little bit of improvement there. But solid growth across Asia, across the rest of the division, particularly on our premiumization strategy. Hill's is a terrific quarter, while the category remained soft and dogged down with the CAT continuing to grow. We think the U.S. bounced back quite nicely. On an underlying basis, you saw obviously the strong growth on Hill's ex private label in excess of 5% and volume being positive on Hill's. So we're very pleased with the continued progress, but the category continues to remain quite sluggish. And we've seen some of the issues in up in Canada with the Buy Canadian on the business. But overall, on a broad basis, we're very pleased with the continued growth on that and particularly the share growth we're seeing on the prescription diet side. So overall, we think we were exiting where we want to. We're very pleased that we've set up our 2030 strategy in 2025 that we think addresses a lot of the shortcomings in the market right now. And I think you saw some of that resilience come through and the flexibility we had in the quarter as well as setting up our SGPP, as we announced in the third quarter, that we think will give us the flexibility and the funding to continue to execute around building our brands and capabilities for the long term. So let me turn it over to Stan for the FX question.
Stanley Sutula: Thanks, Noel. So we saw in Q4 that FX was slightly favorable versus our expectations. As Noel highlighted, FX has only been favorable on an annual basis, 2 of the last 10 years, and we know it can change quickly. As we look at 2026, we see it as a low single-digit benefit to revenue in 2026, focused on primarily the first half of the year. On the bottom line, we use that as part of our flexibility in our business model, using it to invest back into the business as well as contribute to the bottom line. At current rates, Europe is the biggest marginal benefit, but most currencies have moved favorably and Latin currencies have been stronger most recently, which is also good for us. I guess I'd close with FX, our -- we have very experienced teams. They're really good at dealing with currency in a volatile environment. So they'll deal with it through RGM, through pricing and make sure that we don't try to take too much advantage of it and use it as a flexibility in the business model. So I think our teams will execute this well.
Noel Wallace: Dara, you asked a question on guidance in terms of the wide range. Let me provide a little specificity in terms of what went into that thinking. So it's pretty simple. If categories get worse, we're at the low end of that guidance range, if categories stay where they are, that we're in the middle of that 1% to 4% range, more than likely if category strengthen, we hope to obviously achieve more towards the higher end of that range. But as we've outlined and as you've seen, significant uncertainty all around the world, categories have stabilized but remain at lower levels.
Operator: The next question comes from Peter Grom with UBS.
Peter Grom: So I wanted to follow up on Hill's. I wanted to ask about Hill's, and you kind of alluded to this now a strong quarter on the volume front despite a pretty tough category backdrop. But can you maybe just speak to the performance in the quarter relative to your expectations? Where were things stronger than expected? Were there any pockets of weakness? And then I guess, as you noted, the category remains challenging. But as you look ahead, I'd be curious what you expect from a category standpoint and just your ability to continue to deliver this level of outperformance?
Noel Wallace: Yes. Thanks, Peter. Again, as you mentioned, strong quarter for the business on a backdrop of pretty tough category. Private label was a 360 basis points negative impact to volume. And despite that, if you take that out, obviously, on an underlying basis, we grew volume 2%, which is terrific. And that growth was pretty broad-based with the exception of the softness we continue to see in the category behind dry but we grew across all of our core strategic segments. So that's terrific to see. And the volume improved on a 2-year stack basis, which is also encouraging. Therapeutic continues to be a big growth driver for us. The Prescription Diet business growing very, very nicely with improved obviously, market shares, and that clearly helps the mix in the operating margins and gross profits. We're gaining share across all channels as our strategy of science-based innovation clearly continues to deliver growth for the category and our retailers. So we're pleased with that. But clearly, a little bit of softness on pet adoptions is driving some of the sluggishness we're seeing in the categories. But science is winning, and we clearly continue to see upside in terms of our opportunities to grow the category for some of the premiumization and innovation that we're bringing into the category. We've also gained a [ shelf ] space as we exited 2025, which we think will help us as we move into 2026 in a more challenged environment. We've got a real benefit in the supply chain as we ramped up a lot more innovation going into 2026. Our [indiscernible] plant that we've talked about has greater flexibility now to deliver more wet product around the world. and we continue to see across all of the key retail environments, growth of the Hill's brand. Very competitive categories we saw exiting the back half of the year, but the good news is we continue to drive incremental growth, and we continue to fund that business with increased brand advertising.
Operator: The next question comes from Rob Ottenstein with Evercore.
Robert Ottenstein: Great. You had a tremendous amount of success turning around and then growing the Colgate brand in China. I'm wondering if you could kind of reflect on the learnings from that, to what extent you can transfer those learnings to Hawley & Hazel. And I think you had mentioned that, that brand is starting to do a little bit better. And are there really learnings that are transferable outside of China to the rest of Asia and even in the U.S.?
Noel Wallace: Yes, Rob, thank you. It's interesting you asked about the transferability. And in fact, we've seen so much interesting learnings coming out of our China team, our Colgate China team that we've sent all of our key leaders and marketing directors over to China for immersions into the commercial strategies that they've deployed over the last couple of years, which have clearly are at the center of our omni demand generation. And they've really learned how to deliver in an omni demand world with very strong brick-and-mortar, but equally important is a very strong e-commerce and online business, and that learning is clearly getting transferred around the world as we speak. But the underlying objective of that business has been to transfer a lot of our success over the years in brick-and-mortar over to a rapidly growing online business. And we've seen a significant amount of competition online. But despite that, we've been able to bring a lot of nation into the category, and we've learned how to personalize the message on a much more fluid basis, which we're getting at the right time and the right place to drive a lot of that share growth we're seeing on the Colgate side. And your specific question, that's exactly what Hawley & Hazel now is trying to replicate. Now they have a significant widespread, downscale distribution business that we want to continue to leverage, but we realize the category continues to evolve to e-commerce and our ability to exploit the learnings that we've had on Colgate onto the Hawley & Hazel business will ultimately prove the long-term success of that. As you mentioned and as I mentioned, we had a great new product entry on the super premium side online with Hawley & Hazel, a dual chamber technology that's quite unique for that market. and we're seeing great uptake on that as we exit the quarter. And that will clearly be the business model that we need to continue to execute on the Hawley & Hazel business moving forward. We've also made some pretty significant structural changes on that business. to better set us up for where the environment is going and where we anticipate the go-to-market should end up in the next couple of years.
Operator: The next question comes from Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: I had a question on your ad spend. Consumer backdrop remains challenged and your ad spend was slightly down last year following increases in the prior couple of years. So I guess with category growth still below historical levels, curious if the decision to spend more on A&P this year is because you want to improve your market share in certain categories. If you could touch on that, that would be helpful. And I'm wondering how much flex you ultimately have to maybe pull back on A&P spend, I guess, if necessary, to deliver on your EPS guidance?
Noel Wallace: Thanks, Bonnie. Clearly, a lot of the success we've had over the couple of years has been behind building our brands and our advertising acceleration has been a key driver of that. That being said, with the sluggishness that we saw in the back half in the categories, it was prudent for us to scale back a little bit of the advertising given some of the headwinds that we saw in the categories. That being said, we spent a lot of time in the last 6 to 9 months really deploying the omni demand generation capabilities that I talked about as part of our 2030 strategy, which is allowing us to get much more focused on driving efficiency through our spend. And while the advertising on the percent of sales was down a little bit in the fourth quarter, it was still up 5% on a dollar basis year-on-year, which is good in terms of the number of impressions and the impact we're getting in the market. So moving forward, a real focus on optimization and efficiency, but we have areas of the world and brands that we believe will continue to benefit immensely from improved advertising and increased levels of advertising in the market in order to drive not only our market share and penetration but to drive the categories as well.
Operator: The next question comes from Peter Galbo with Bank of America.
Peter Galbo: Noel, I wanted to dig into your comments a little bit on North America specifically. As I look at the holistic portfolio, right, you've got pretty much every region moving in the right direction. And North America seems to be kind of the last ship to turn around here, particularly, I think you called out Personal Care as maybe one of the weaker points within that bucket. So would just love some comments from you around kind of the planning whether it be innovation and market execution for North America specifically as we get into '26 to kind of write that ship so that, hey, maybe organic sales can come in even a little bit more accelerated than you saw in Q4.
Noel Wallace: Yes. Thanks for the question, Peter. Tough quarter for North America, but certainly an improvement of where we saw things in the third quarter. And you've heard from other companies, the category growth continues to lag in North America and that's been a challenge for most. October and November specifically impacted by the government shutdown, likely Snap and other factors December was a little better, but let's not get too excited about December. We'll see where the first quarter ends up. It's clearly what we're seeing now is continued softness in the category growth numbers across the board. Nine of our categories were down in volume in the U.S. in October and 10 in November. That's category numbers. It was only 6 in December. So as I mentioned, improved a little bit. Home Care category is interesting seem to be particularly impacted. This category took a pretty significant hit in the fourth quarter as did fabric softeners showing both mid-single-digit decline -- volume decline. So again, like you've heard from others, we're all plagued by the fact that there's a lot of headwinds in the category. And I think what's really driving that right now is just a lot of uncertainty at the consumer level in terms of where things are headed in the marketplace. And as a result, they're holding back on filling their pantries, buying a lot more on promotion as perhaps they've done in the past. They're taking their penetration of the category down to a certain extent. Still, we see a lot of growth in the super premium side of the business, which is -- that's terrific and some trade down into value. But overall, as we've talked about, we have real opportunity in the North American business, particularly in Oral Care, to drive a lot more of our mix towards the super premium part of the category. There's a gap in organic versus consumption, as you may have seen from some of the standard data. This is probably possibly due to some of the coupon activity that we've seen in the category, some downward pressures on inventories, as I mentioned upfront due to the slower category growth and also some softness in the non-Nielsen category. So a very uncertain environment in North America, what are we doing about it? We're obviously really gearing up with a much stronger innovation pipeline as we move into 2026, and you'll see that unfold as we go through the balance of this quarter. And we'll obviously be much more focused on making sure our revenue growth management strategies are well in place. Clearly, there's going to be a chase of volume. We're going to have to watch the competitive activity. So far, the competitive activity has been rather constructive. We are seeing some of our competitors do more on couponing. So we'll have to watch that carefully as we move through the balance of the year. But our belief is that the right value is to drive -- in the categories is to drive more premium innovation, and that's what we'll be focused on across our categories. Skin was soft in the category. That's our premium skin health business, particularly as we consolidate that all into the North America business. Some of the decisions we've taken on China obviously slowed the skin health business, specifically as it rolls up to North America. We have strong strategies. We've done a significant restructuring on that business moving forward, and we're quite confident that the innovation and the focus that we have on some of the growing markets around the world, will yield better results for the business moving forward.
Operator: The next question comes from Filippo Falorni with Citi.
Filippo Falorni: I want to touch on the emerging market business that saw a pretty significant improvement in Q4, especially Latin America and Africa, Eurasia. Maybe can you first talk a bit about what you're seeing from a macro standpoint, especially in big countries like Brazil, Mexico? And then longer term, still a lot of contribution from pricing. How should we think about the balance of pricing and volumes in emerging markets as the FX turns potentially more favorable going forward, as you mentioned before?
Noel Wallace: Yes. Thanks, Filippo. As you probably saw emerging markets across the board, broadly, we're quite strong. If taking aggregate, emerging grew at about 4.5% organic growth in the quarter with a good balance between price and volume, which is encouraging. You specifically called out Latin America, which had a very, very strong quarter. We were up in both Mexico and Brazil, high single digits and we had strong growth across all 3 of our categories. We also had solid growth, as I mentioned in my comments, in the Andina region in Central America, but those regions continue to be challenged by heightened competition. But overall, we continue to execute our strategy and grow the business. We're seeing a similar movement in terms of Latin America, a little bit of sluggishness, but they are growing faster than the developed markets across the world, both in Latin America as well as Asia and Africa, which we think bodes well for us, given our strategic exposure to those categories worldwide. And FX has certainly helped us a little bit in the short term. We'll see where that goes ultimately longer term, but the volatility is clearly there. The good news on our emerging markets is we're very focused on executing against very strategic growth markets in our 2030 strategy and we'll see up investment in those markets where we were able to obviously go capitalize on the stronger category growth rates we're seeing overseas, and that will be a clear focus as we move through the balance of 2026.
Operator: The next question comes from Lauren Lieberman with Barclays.
Lauren Lieberman: Hoping you guys could talk a little bit about India, just with the GST change and just some volatility there have been in that market overall, not just for you guys on demand, consumer and so on. Would love an update there.
Noel Wallace: As you saw in India company results, which we recently announced, organic was up in the quarter and certainly importantly, sequentially up versus the third quarter and better than, quite frankly, expected. But underlying demand in India, mostly in the low-income urban, consumer continues to be rather soft. Our focus and our strategy as -- and our innovation is supporting that is really to grow the premium side of the business in the urban market. And we have some pretty aggressive new product introductions, Colgate Total, we've launched Colgate PerioGard through the profession and our Optic White purple brands are all moving through distribution as we speak, and we will continue to focus on the premiumization of the urban market while we continue to defend some of the implications from the GST changes that were made. We're mostly through those, by and large, and we think the execution will improve as we move through 2026. Overall, we are still quite bold on India longer term, a very important market for us where we've had great success. The team has a strong plan for 2026 with a lot of the changes in interventions we made in 2025 that we think will play out in '26 for a much stronger year.
Operator: The next question comes from Kaumil Gajrawala with Jefferies.
Kaumil Gajrawala: I guess digging into maybe even a little bit more on what's behind the slowdown in the category. You mentioned a bit of pantry destocking, but for how long can that continue? Maybe there's a little promotional activity. But I'm sure we will dug into sort of what's maybe going on more specifically on the category that historically has been very consistent, seem to be slowing down. And then on FX, just to confirm, I think, Stan, you had mentioned the benefit on the top line. Is it fully intended to be reinvested? Or was the comment more related to -- not to expect any leverage from the benefit on top line down the P&L?
Noel Wallace: So on the U.S. and the categories, by and large, I think your question is more germane for the U.S., it is unusual for everyday use categories to see the sluggish mish, obviously. And clearly, I think as consumers get more certain around where their futures are headed and where the economy is headed, we're going to see those categories come back. And it's incumbent upon us to ensure that we're bringing the right innovation across multiple price points with the real value orientation associated to it. We know consumers react to great new product ideas. So we have to accelerate our innovation in order to drive a little bit more vibrant in the category. Clearly, we've got some pricing opportunities as I laid out earlier on whether it's revenue growth management or going after the premiumization segment. But right now, I think it's largely driven by uncertainty. And as a result of that, we've seen obviously some softness in Hispanic cluster markets as we've talked about and you've heard others talk about. But the anticipation is that we think the category has bottomed out but it will be a slow return over the balance of this year. And I think as we put more innovation in the market, we should see the North American market come back nicely. And as we deploy our premiumization strategy, we believe there's a lot of upside growth for us still there.
Stanley Sutula: And on FX, we said in 2026, we see a low single-digit benefit to top line focused largely in the first half of the year. And on the bottom line, what I said was that this would be part of our flexibility in the business model. We use it to invest back in the business as well as a combination of contributing to bottom line, which is all of what we put into our overall guidance on top and bottom. We'll have to use this and see. The other thing we know is it's going to be volatile as we go through the year. It's been volatile through January, and we expect that, that will continue. So that's why we look at it through a flexibility model, which is how we've designed our guidance.
Operator: The next comes from Andrea Teixeira with JPMorgan.
Andrea Teixeira: So I was hoping if you can elaborate a little bit more on the outlook for LatAm. Clearly, you reaccelerated in the quarter, even strong volume growth. I was hoping to see if you can parse out -- I think you got impacted in Brazil for the reformulation of [indiscernible]. I was trying to see if there is any reload in the inventory at this point and what are you embedding within that category growth global for LATAM, you have some tailwinds with potential elections in Brazil and how Mexico has been recovering? Because you called out Mexico being the biggest driver for volume. So it's curious if Brazil was driven by volumes as well.
Noel Wallace: Yes. Thanks, Andrea. Yes, a good quarter for Latin America coming off a slightly softer quarter in the third quarter, which is somewhat unusual given their long-term success. Clearly, some of the strategies we're executing are now starting to see prove out in terms of the growth and the volume which was terrific to see in the quarter. As we look forward, obviously, the total issue that we had in 2025, we'll lap some of that moving into 2026 and the execution of our strategy will hopefully drive some incrementality to what we've seen, given some of the softness we experienced in 2025. But overall, the category seems to be behaving okay. Yes, they're down versus historical levels. We're still able to get pricing given the strength of the brand and some of the inflationary aspects we've seen, particularly on fats and oils in the region, we've been able to take some pricing in that market and we'll continue to do that moving forward. Our focus is on a strong innovation pipeline across multiple price points, and we believe we can continue to drive volume executing against the clear price points. We are seeing some of the middle gets squeezed in Latin America as well, where the super premium continues to grow quite nicely. The value segment is growing where the middle is getting squeezed. So we need to up our innovation across all price points in order to ensure we're securing better volume growth across the board. And both Brazil and Mexico are contributing very nicely to the growth and we anticipate that will be the case as we move through the balance of 2026.
Operator: The next question comes from Robert Moskow with TD Cowen.
Robert Moskow: Noel, in response to the plans for driving growth in the U.S., you're really focused on the premiumization strategy. But you also said that economic uncertainty is a problem, especially among Hispanics who just tend to have less purchasing power. So can you talk a little bit more about the U.S. And how does your strategy take into account improving performance, I guess, for lower and middle tier priced products? That seems to be where your competitors are increasingly focused as well.
Noel Wallace: Yes. Thanks for the question. Listen, it's a combination of many things in terms of strategically how we deploy our go-to-market. If you take just the lower end of the market, obviously, more prochly sensitive. We need to get our couponing strategy in the right place. We need to get our price pack architecture in the right place. We have very, very strong core base businesses in the U.S. and around the world. And so our ability to innovate against those and bring some new news will create some excitement in the category, executing the planogram successfully as we move through '26, making sure we're bringing growth stories to our trade in terms of the ability to drive some of the value end of the business in the middle price segments as well and the trade up necessary to do that. But it really comes down to executing a well-thought through promotional strategy, combined with a very aggressive innovation strategy. If we can get those 2 right, I realize I'm oversimplifying, but that's critically important to drive growth in the U.S. across all price points. And we clearly will match any competitive activity that happens, but we're very focused on driving the category much more through innovation and I hope that the constructiveness of the category that we've seen over 2025 will play out that way in 2026 as well.
Operator: The next question comes from Nik Modi with RBC.
Nik Modi: So just if I could just follow up on Rob's question. Just how do you think about portfolio construction in this kind of K-shape world we're living in? I'm not talking about kind of what's going on here and now. I mean, income bifurcation globally has been going on for 40 years, right? So I would assume that it's going to continue. So when you think about portfolio construction or just product construction, low end versus high end, how do you think about that over the next couple of years? That's just a quick follow-up on the K shape. And the real question is just some of your larger competitors have announced and probably will announce soon organizational design changes that are less category-centric and more solutions-centric. And I'm just, again, thinking about just kind of the world we're living in right now and how you think about the Project 2030 or your business plan going through them? Like how do you think about organizational structure? And do you think that may be making any changes might make sense just given the way the world is evolving?
Noel Wallace: Yes. Thanks, Nik. Let me take a lot about our portfolio composition. And something we talked along about relative to our 2025 strategy was the importance of our core business. And it's interesting, you're hearing quite a few staples talk about revitalizing their core. We've been on that journey for 3 to 4 years, really elevating our core businesses, relaunching them with science-driven innovation and driving a lot more value in our big core businesses, which is the bulk of our business. And that strategy will absolutely continue as we move through 2030. We've learned that making sure that our big core businesses are not forgotten and then we get too focused on line extensions and super premium innovations, and we forget what got us to where we are today. That's a dangerous place to go. And so our core business and the strategy that we've been deploying, we think, has played out very nicely through 2025 and we have some exciting relaunches against our core business as we move into 2030. So that will continue to be very important around shaping our portfolio. But you've heard me consistently talk about where we under-indexed the most globally is on the super premium side. And that will be a very focused effort going through 2030. For us to get more of our fair share in the super premium side of the business, we now have been spending years developing great science-based innovation that we think can exploit the super premium and drives real value and premiumization opportunities. You've seen that obviously on the Hill's business. We need to replicate that across our other categories more successfully. So you'll see that executed as we move through the 2030 plan. On organizational structure, I think the strategic growth and productivity plan is doing exactly what you, in general, laid out, which is laying out our organization for where we think the world is going. And at the core of that is structuring our organization against what we call omni demand generation. So we will desilo the organization from an e-commerce business in a brick-and-mortar business and indirect trade distribution business and now have a much more holistic commercial, one commercial organization, that's deploying strategies to win the omni demand consumer. And that is a big focus for us in terms of how we're organizing ourselves, the SGPP plan is enabling us to look at the structure that we have today and find ways to optimize that, to drive faster decision-making and to organize ourselves against a very challenging and changing consumer environment around the world that requires us to be very fluid and dynamic in terms of our content and how we advertise and how we execute digitally and personalize our messaging at the same time at the right time and the right place. So it encompasses all of what you said. It's a pretty substantial change for us, but a really exciting change and a journey that we've been on for a couple of years to get to where we're ready to really embark on more substantive stages as we move through 2030.
Operator: The next question comes from Michael Lavery with Piper Sandler.
Michael Lavery: I just wanted to come back to North America pricing. You've gained some steam there and it was positive again. You've touched on just the need for flexibility and the consumer uncertainty. But maybe can you give a sense at a high level what your expectations are in 2026? And you touched on some of the RGM capabilities. But maybe I just want to clarify if you meant more that to manage price realization? Or if you meant that more as driving value for the consumer? I'm sure it'd be a bit of both, but should we expect a little bit more pricing momentum to continue? Or any watch-outs there?
Noel Wallace: Yes. Thanks for the question. Clearly, we've always suggested that we need to have a balance between pricing and volume. And a lot of the efforts and capabilities that we've built over the last 5 years in revenue growth management, where we now have AI helping to deliver better, more prudent decisions around price pack architecture, promotional environment, how we think about our premiumization is a key vehicle for us to continue to execute against to drive pricing in the category. So we need to get some pricing in that category. And clearly, the teams are very focused on that. We'll be looking at our promotional strategies much more diligently on how we get pricing out of those. We'll be looking at our price pack architecture, how we get those. And importantly, as I laid out the innovation becomes critically important to ensure that we're getting premium innovation to drive pricing for the category, while we continue to execute core renovation to make sure that we're bringing value to that consumer as well. We're looking at the portfolio in terms of getting the price points right, as I mentioned, and making sure that we're competing against the growing price points, and we have innovation there. So in essence, it's a little bit of everything there. The U.S., I think, will continue to be a challenging environment for the next couple of quarters. But as we move through the back half, I think our expectation is, is most of our competitors continue to bring more innovation in the category. We see the U.S. market start to settle down post the elections. We think we'll see the categories come back, and we are ready to make sure that we drive penetration and brand share in that environment.
Operator: The next question comes from Olivia Tong with Raymond James.
Olivia Tong Cheang: I know you mentioned FX has only been a tailwind in 2 of the last 10 years. But can you remind us what happened to pricing promo in the past in emerging markets, whether price push back? Is there any risk that price pushbacks led -- could happen led by consumers or whether competition? Also uses the flex provided but at a greater magnitude to try and chip away at your shares in international markets? And then are there -- assuming that there is that flex, right, that you can spend back, are there programs that you have on tap that you plan to unleash if possible? Or is it more -- or should we think about this more as evenly spread across incremental advertising, investment and promotion? And then just lastly, you briefly touched on sort of a nationalistic view in Canada that impacted results. Are you seeing that anywhere else globally? Or how do you think about the risk of that potentially increasing?
Noel Wallace: Let me take the last one. Currently, it's mostly Canadian -- Canada issue, we haven't seen it necessarily travel in other parts of the world but you never say never in this environment, anything can happen, and we'll have to watch that carefully. I'll let Stan get into some of the specifics around foreign exchange. We don't have a lot of experience. And to answer your question, quite frankly, it's only happened 2 out of 10 years. But clearly, we don't plan nor do we build our plans based on foreign exchange being a benefit for us. And so we clearly have our funding to growth programs. We clearly have our productivity and we clearly challenged our teams to get the pricing in the category to drive the value and return on the investment we put in to delivering science-driven innovation. So all of those will continue to happen. We don't necessarily -- I think someone [ pressing ] your question, take our foot off the gas on taking pricing because of foreign exchange. If we need to take pricing because our products require it and the cost of the formulations require it we will take what the market can bear. And we've always done that quite successfully as you've seen through the years. And I think a lot of the capabilities we've built on revenue growth management have helped that. So let me give Stan a sense to answer a couple of more questions around foreign exchange and how we're thinking about it moving through the P&L.
Stanley Sutula: Yes. On the FX here, even if you go back and look at those 2 years where FX was favorable, we actually executed pricing in those 2 years as well. So as I said in my comments before, we have very experienced teams on the ground around the world. They know how to navigate this market. Yes, some local players will on occasion try to use that for short-term advantage, but I come back to the flexibility in the P&L. We'll work that flexibility, whether it's investments in advertising, investments in product placement, et cetera, to optimize that for whatever currency environment we're operating in. So I would expect that we'd still be able to execute pricing. It may not be in every single geography around the world, but I think history is a good indicator of our ability to execute that.
Operator: The next question comes from Kevin Grundy with BNP Paribas.
Kevin Grundy: Congrats on the results. Noel, I wanted to pivot back to the Fat food business, but thoughts specifically around fresh, really from a couple of angles. One, you're learning so far from the prime business, comment on how the brand is performing versus expectations, your ability to further expand that. But then two, and perhaps more broadly, just kind of taking a step back, your updated thoughts on the attractiveness of that subsegment within pet food and whether Hill's will play a role.
Noel Wallace: Yes. Thanks, Kevin. Let me address Prime 100, which is the acquisition we made in [indiscernible] those that aren't familiar with it. Our results continue to come in ahead of plan. And I think we're very pleased with one, how that team is executing against the plan and quite frankly, exceeding our expectations. As you may recall, it's a science-driven, [ Bett ] endorse brand. So it really fits our narrative in terms of how we think about businesses and how we think about sustaining long-term growth in businesses, particularly through the profession. The formulas obviously bring more science to fresh, which we think is an interesting play. They're more positioned in the derm space there, which we like. But we're learning. And we have a lot to learn on that. We don't take that innovation lightly. We're making sure that we think about what -- where it may apply for us around the world. The good news is that's a profitable business. So we're not obviously chasing our tail to get gross margins up, but we're finding ways to drive more efficiency and more science through the formulations and improving their supply chain. But right now, it's basically just watch and learn and continue to learn from the team and figure out whether we can apply that to other areas of the world in the long term. But right now, we're focused on making sure we have a successful business in Australia.
Operator: The last question today comes from Chris Carey with Wells Fargo.
Christopher Carey: Can segue actually into the question that I wanted to ask. So the balance sheet is in very good shape. Leverage is reasonably low or very low. And I guess I just wanted to ask, what is the kind of the state of the union on how Colgate is thinking about using the balance sheet, perhaps more specifically with M&A? Does the impairment today change your views on the sorts of categories that you'd like to play in? And so I guess just taking a step back, what is the desire for M&A? And perhaps just give us a bit of flavor on whether your thought process is evolving on the sorts of assets or categories that you might be interested in?
Stanley Sutula: Yes. Chris, it's Stan. So why don't I start, Noel can add in any additional commentary. So as part of our work over the last several years on kind of rebuilding our business model, one of the areas that I think has really benefited is the balance sheet and cash flow. If you look at '25, we had a strong finish to the year. We delivered record operating cash flow of $4.2 billion. Free cash flow is also up. That came both from generating cash profit, but also really good performance on net working capital. That has resulted in a really strong operational ROIC and good improvement on our cash conversion cycle. So when you take a look at our balance sheet and cash flow, I think it has really improved, which gives us flexibility. We often talk about flexibility in the income statement, but we also have flexibility in the balance sheet. We have really nice debt towers looking out over time. We've got really strong cash flow. We have low leverage here, which gives us dry powder. Now as we look at capital allocation as a result of that, our first priority is going to be investing in the business. And you've seen us do that through investing in new facilities, investing in R&D, investing in capabilities. And we think that we demonstrate really good discipline in that area. The second primary area is return to shareholders. So dividends, 63 years of dividend increases, share buyback. And then, of course, M&A. And around M&A, we always look at our options to improve our portfolio of businesses. The impairment that we announced today is part of running the business. The market conditions changed. We still believe in the long-term health of that business and where it can fit into our portfolio. As we look at that M&A, we're going to demonstrate discipline there. We're going to look for the right market opportunities. And if you look over the last few years, we saw those opportunities predominantly in Hill's. We've made those investments and Red Collar and in Prime 100. We're very happy with the Prime 100. We'll continue to look for where that complements our portfolio in total, and then we have the wherewithal to go execute it in the environment due to all the hard work from the team.
Noel Wallace: Yes. Well, said, there's not a lot to add to that. And clearly, our teams on the ground and around the world are looking for opportunities to optimize their portfolio. These are discussions we have all the way at the Board level. And rest assured that if we found the right opportunity to utilize our balance sheet, we would. But we are, as you well know, cautious and we want to manage through this uncertain environment in the right way to ensure that we come out of this stronger than we went into it. And clearly, investing back behind the business, where we see continued growth opportunities will be our priority, but it's good to be in a position where your leverage is so low, your cash generation is strong, and it gives us, I guess, the keys to kind of address the market as we see it unfold and deliver portfolio optimization at the right time in the right place. So with that, let me say thank you to everyone in terms of the questions you had this morning. I want to specifically thank all the Colgate people around the world for their tireless efforts and the results that they delivered through 2025 in a tough environment. And I look forward to seeing everyone at CAGNY in a couple of weeks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.